Operator: Good day, and welcome to the Kennedy-Wilson Second Quarter of 2024 Earnings Call. [Operator Instructions]. Please note that this event is being recorded. I would like to now turn the call over to Daven Bhavsar, Head of Investor Relations. Please go ahead.
Daven Bhavsar: Thank you, and good morning. Thank you for joining us today. Today's call will be webcast live and will be archived for replay. The replay will be available phone for one week and by webcast for three months. Please see the Investor Relations website for more information. With me today are William McMorrow, CEO; Matthew Windisch, President; Justin Enbody, CFO; and Mike Pegler, President of Europe. On this call, we will refer to certain non-GAAP financial measures, including adjusted EBITDA and adjusted net income. You can find a description of these items, along with the reconciliation of the most directly comparable GAAP financial measure and our second quarter 2024 earnings release, which is posted on the Investor Relations section of our website. Statements made during this call may include forward-looking statements. Actual results may materially differ from forward-looking information discussed on this call due to the number of risks, uncertainties and other factors indicated in reports and filings with the Securities and Exchange Commission. I would now like to turn the call over to our Chairman and CEO, William McMorrow.
William McMorrow: Thank you, Daven. Good morning, everybody. Thank you for joining our call. Yesterday, we reported our results in the second quarter and the first half of 2024, which highlighted improving operating fundamentals on our multifamily portfolio and solid progress on our key initiatives during what has been a challenging 24-month period of time for real estate, given that inflation rates were at a 40-year high and interest rates at a 22-year high. We saw continued momentum in Q2 within our investment management business and deployed $2 billion of new capital throughout the first half of the year. The deployment includes $1.7 billion through our credit platform, which fully related to the construction of new high quality market rate multifamily and student housing made to best in class sponsors and $300 million on multifamily and industrial acquisitions. We also continue to finish and stabilize our development and lease up portfolio and in the quarter, stabilized five multifamily communities, which added $16 million to our estimated annual NOI. We have only two remaining active market rate developments. In total, our development and lease up portfolio is expected to add $70 million in estimated annual NOI upon stabilization. With our developments largely finishing, our capital spend on development has dropped from averaging $150 million per year in 2022 and 2023 to only $10 million remaining to be spent in the second half of 2024. As a result of our Q2 activity, our estimated annual NOI grew by 5% to $485 million dollars AUM, Assets Under Management, grew to $27 billion and is annualizing at a 16% growth rate and fee bearing capital grew to a record $8.7 billion with the ability to grow to $15 billion including $2.9 billion of future fundings from previously originated and closed construction loans and the investment of nondiscretionary capital that is available to invest. Turning to market conditions, we have seen improving liquidity throughout the year, including several large portfolio transactions within the U.S. apartment sector, which were recently completed or announced, highlighting the strong institutional demand for high-quality multifamily assets. While interest rates have been a headwind for real estate over the last few years, we've begun to see significant beneficial shifts. In the U.S., the 10-year bond as most of you know, has declined by 100 basis points and touching 5% in October 2023. In Europe, the Bank of England cut rates last week for the first time in four years and the 10-year bond in Ireland today sits at 2.7% versus, I might add, it was close to 16% when we first went there in 2010. Further anticipated decreases in rates by the Fed also provide supportive backdrop for our valuations and increases of our portfolio. A lower cost of capital and lower base rates should help increase transaction volumes and increase our ability to find opportunities to deploy capital and realize additional cash monetizations. This bodes well for our business, where we have created a unique platform that can scale through investing in both real estate equity and debt. I'm excited about our current positioning and the numerous opportunities we have to expand our assets under management with a focus on the following areas. First, growing our investment management platform. Our track record spans over three decades, in which we have navigated many different cycles and at the same time, grown our relationship network, which expands from the U.S. to Canada, Europe and across Asia to include some of the largest sovereign wealth funds, insurance companies and other large institutional investors around the world. This includes our partners in Japan, where we recently reopened our office and our history dates back to when we established Kennedy-Wilson Japan back in 1994. We continue to see a strong desire from our partners to invest with KW in real estate debt and equity in the U.S., United Kingdom and Ireland. I am very confident in our ability to continue raising further third party capital to grow our investment management business. We're currently focused on three key products. First is rental housing, where our portfolio of approximately 60,000 units includes 22,000 units being financed through our construction loan platform and over 38,000 multifamily units in which we have an approximate 56% ownership interest. Renter fundamentals remain very healthy as there remains a shortage of housing throughout the U.S., U.K. and Ireland. In the U.S., multifamily demand for largely suburban portfolio has remained strong, while supply starts have dropped significantly. We also have a very successful track record of investing in and building high quality rental housing in Dublin and the U.K., and we continue to evaluate opportunities in those regions. Second, we look to continue growing our credit platform where we are generating solid risk adjusted returns for our shareholders. Q2 marked the one-year anniversary of our acquisition of a $4.1 billion construction loan portfolio from PacWest Bank. Since then, the PacWest construction lending team that joined KW has integrated seamlessly within our KW culture, while completing $1.9 billion of multifamily and student housing construction originations with very high quality institutional sponsors. We have a strong pipeline of $600 million to $700 million that is signed up and is currently in the process of closing, which will take our closings to $2.7 billion since the acquisition, and third, we look to continue building on our existing 12 million square feet of logistics. We acquired two industrial platforms in the quarter, totaling $180 million, one in the U.S. and one in the United Kingdom and we are evaluating several new opportunities in our pipeline in both regions. Our second key initiative relates to our asset sale plan. In July, we sold a retail center in Spain, which was our last wholly owned asset in the country, generated $35 million of cash to KW. This brings our year-to-date total through the end of July to $330 million of cash generated from asset sales, non-core assets and loan repayments. We have a strong disposition pipeline for the second half of the year with proceeds to be used for reducing our unsecured debt and for future co-investment opportunities. I want to thank our entire organization for their hard work as we've continued working as one team across all geographies and business lines, which has set up a firm foundation for the next phase of growth at Kennedy-Wilson. With that, I'd like to turn the call over to our CFO, Justin Enbody to discuss our financial results.
Justin Enbody: Thanks, Bill. I'll start by reviewing our financial results and then discuss our balance sheet. Investment Management revenue grew by 37% to $26 million in Q2, driven by completing nearly $1 billion in new originations in our credit platform as well as higher levels of de-bearing capital. Baseline EBITDA grew by 5% to a $105 million. We saw minor changes in the values of our unconsolidated portfolio in the quarter and we saw overhead costs go down by 9% year-to-date. Additionally, post quarter end as Bill mentioned, we divested in the largest asset we held in Spain and with that we'll be closing our Spanish office. In summary, our GAAP net loss totaled $0.43 per share in Q2 which includes $0.46 per share of non-cash items including depreciation and amortization, fair value and share based compensation. Adjusted EBITDA totaled $79 million for Q2 and $283 million for the year. Now turning to our balance sheet and debt profile. At quarter end, we had $367 million of consolidated cash. We paid down our line of credit by $67 million in Q2 and today we have $172 million drawn on our $500 million line of credit. Our share of total debt is 98% fixed or hedged with a weighted average maturity of five years. We continue to collect cash as a result of our interest rate hedging activities, which is not reflected in our financial statements as an offset to interest expense. In Q2, we collected $11 million of cash bringing our year to date total to $23 million. Our effective interest rate 4.6% reflects a 50 basis point saving over our contractual rate as a result of our hedging strategy. Our remaining 2024 debt maturities total $181 million which are all non-recourse at the property level. In Q3, we refinanced the construction loan at one of our recently completed multifamily projects in Dublin where the effective rate improved from 6.2% to 4.5% fixed for five years. We also continue to repurchase stock in the quarter buying another 600,000 shares which brought our year-to-date total through July to 1.7 million shares or approximately 1.2% of our outstanding share count. We have $110 million remaining on our $500 million share repurchase authorization. With that, I'd now like to turn call over to our President, Matthew Windisch to discuss our investment portfolio.
Matthew Windisch: Thanks, Justin. We continue to strengthen the quality of our portfolio as we work through disposing of non-core assets, while at the same time stabilizing brand new communities. Our stabilized portfolio totals $485 million in estimated annual NOI, which grew by 5% in the quarter. Over the last five years, our portfolio has continued to shift towards multifamily credit and industrial, which have increased from 50% to roughly 70% of our NOI. We have also sold down our retail office and hotel portfolios, which five years ago accounted for 50% of our portfolio versus approximately 30% today. In total, our 38,000-unit multifamily business has grown to 61% of our stabilized portfolio, producing $525 million of estimated annual NOI at the property level, of which KW share is $294 million. We have 2700 units in our lease up and development pipeline, which we expect to add $29 million to estimated annual NOI at stabilization. Our U.S. multifamily portfolio has benefited as a result of our asset management initiatives, where we are focused on driving operational efficiencies and enhancing our assets, as well as strong demand from an overall shortage of homes for sale and the high cost of homeownership. These drivers resulted in same property occupancy growth of 1.9%, revenue growth of 3.6% and NOI growth of approximately 3%. Overall, portfolio occupancy stood at 94%. On the expense side, rising insurance costs reduced our same store NOI results in Q2 by approximately 50 basis points. However, we expect that our insurance premiums will be flat to down in the second half of the year based on our July renewals. Our market rate apartment portfolio in the U.S. which is over 90% suburban, saw blended leasing spreads of 2.6%, similar to what we are seeing in July, and we ended the quarter with a loss to lease totaling 4%. Turning to our regional highlights. In our California portfolio, we continue to make great progress working through delinquencies and releasing units. In Q2, we saw occupancy increases, lower bad debt, and stable operating expenses, leading to NOI growth of 5% across our California portfolio. In Northern California, bad debt dropped to the lowest level in two years. The Pacific Northwest also delivered an impressive 4% NOI growth, as occupancy grew by 1.4%, while our value add initiatives in this region continued to positively impact our results. In the Mountain West region, we saw occupancy improve by 2%, leading to revenue growth of 3% and NOI growth of 1%. Our portfolio here is well diversified across six states. Nevada and New Mexico were the strongest in our portfolio with 9% and 6% NOI growth respectively. Our Arizona properties produced NOI growth of 6% and in Utah, we saw NOI growth of 3%. In Idaho, we have seen supply impact our rental growth, although we anticipate much less new supply coming online in the years ahead. We continue to have conviction in these markets where our portfolio offers an attractive, lower cost alternative to higher rent units and higher tax more densely populated cities. Our Mountain West portfolio's average rents are roughly $1600 per month, and we believe these markets are set up for solid growth as supply pressures subside. Moving over to Dublin, our portfolio there remains in strong demand. In Q2, we stabilized two multifamily projects in Dublin, Cooper's Cross Residential and The Grange, which totaled 758 units. These two properties added approximately $10 million to estimated annual NOI. We have a further 232 units undergoing lease up at Cornerstone, which we anticipate stabilizing in early 2025. Renter fundamentals remain healthy in Ireland as labor market conditions are tight and there remains a large structural shortage of housing. With regards to our global office portfolio, we saw improving occupancies and lower operating costs lead to 6.5% NOI growth. It is worth noting that U.S. office represents only 6% of our stabilized portfolio, where we have completed approximately 0.5 million square feet of leasing in 20 24 with an average term of almost six years. Majority of our office portfolio is located in Dublin and in the U.K., where the overall leasing market environment has improved in 2024. In Q2, same property NOI increased by 2.2% in our European office portfolio, driven by slight increases in occupancy and lower operating expenses. Stabilized occupancy in Europe remains healthy at 94% with a weighted average lease term of seven years to expiration and five years to break. In Dublin, our nine stabilized properties have less than 5% vacancy with five of the properties 100% leased. We continue to see a slight to quality, which we believe will benefit our portfolio. Fundamentals in our industrial portfolio remain very strong with our portfolio 98% occupied. In Europe, leasing completed in the quarter delivered a 44% increase in rents. Demand from our existing tenants to remain in our properties remained strong, with tenants regularly engaging in early discussions ahead of their lease expiration. In place rents in Europe remain 19% below market, which allows for us to continue enhancing value as leases mature. Switching gears to our investment management business. Switching gears to our investment management business. As we continue to simplify our balance sheet through non-core asset sales, investment management growth is an important focus as it allows us to generate attractive returns in a capital light manner. We have successfully grown our fee bearing capital by 93% over the past three years to a record $8.7 billion. A large portion of our investment management growth has been driven by our credit business, which includes $5.1 billion in outstanding loans and $2.9 billion in future fundings. Our capital raising efforts span across the globe with the majority of our capital coming from large institutional insurance companies, sovereign wealth funds and pensions. Combining these important relationships with an improving interest rate backdrop should strengthen liquidity and improve our ability to deploy capital at scale. In summary, we are emerging from a challenging period of time as a much stronger company positioned for growth. We greatly increased the strength of our lending capabilities in the last year. We continue to finish and stabilize our developments, while recycling capital from our non-core asset sales, strengthening our overall portfolio, and most importantly, we have a well-seasoned and invigorated team on the field, which looks forward to growing the business over the years ahead. So with that, we can open it up to Q&A.
Operator: Thank you. [Operator Instructions]. The first question comes from Anthony Paolone with J.P. Morgan. Please go ahead.
Anthony Paolone: Okay, thanks and good morning. I guess, first question as it relates to the debt platform, it seems like the origination thus far has been mostly on the construction loan side or maybe all of it has been, if I recall, but just wondering what the prospects are for doing other types of maybe longer duration type debt deals or taking advantage of some of the repayments to be the vehicle that terms out some of that debt to add some just broader duration to that book?
Matthew Windisch: Anthony, this is Matt. It's a great question. We see a great opportunity in the construction lending space within the residential sector, and so that's where our primary focus has been, but the team that we both bought and built within KW is a seasoned team of people with expertise not only in construction lending, but in permanent lending, bridge lending, you name it. So we definitely have increase the duration increase the duration on the portfolio and look at longer term solutions for our customers and we've got capital partners that are interested in doing that with us. So it's a good question. I think you'll see over the next several quarters an expansion of our business beyond just construction lending.
Anthony Paolone: Okay. And then with regards to development, the program there seems to be winding down and it's simplifying the story overall for you guys. Do you think there are incremental starts in the horizon or do you think this is this kind of continues to wind down for a while here?
William McMorrow: No, we're really looking at that business in a different way than we have in the past, where we were a sizable equity partner in all of these deals and so we have several new projects that we're looking at right now. We're taking both of our really experienced teams here in the United States and in Europe and for lack of a better word, really re purposing them into a construction management business, where similar to what we've been doing with the investment management platform, where we will be 5% to 10% investors in these properties that manage and run all the construction and earn the normal development fees that you would earn in developing any property. So we've been doing this now for 10 years. And we've developed a very, very outstanding team of people in both Europe and here in the United States and so we don't want to slow the development down where it makes sense. But what we do want to do is do it more in the format of an investment management platform where we're the construction manager.
Anthony Paolone: Okay, thanks. And then just if I could ask one last one, it seems like you're making progress towards your disposition goals. Just wondering if you can put some brackets around what all you have in the market, if we should expect anything more sizable coming or any exits of other markets or property types or anything?
Matthew Windisch: Yes. So you saw that we did sell our Spanish retail center in Q3, so that's obviously done, but we have a substantial pipeline of dispositions that were in various stages of selling. So it's in line with the plan that we announced late last year and we're confident we can still hit those numbers and for us in particular, you've seen the shift of the majority of the assets on the balance sheet being U.S. multifamily. So I think with this disposition program, you'll continue to see that shift continue.
William McMorrow: Yes. I think, Tony, just to add to what Matt said, it's very, very clear that one of our core strengths is, whether it's in the credit business or the equity side, is the multifamily business where we now are involved in almost 60,000 units and so our view of the housing market is that there's going to be significant opportunities to continue to grow that business over time and so we have very clearly identified the other non-core assets that we want to get out of and I think to simplify the company in terms of geography, we're only focused on those three markets, the United States, the United Kingdom and Ireland and the other side of the equation is the capital that we're raising in various parts of the world and as we said earlier in the call, we're very, very focused on raising capital now out of Asia, Canada and Europe. And so and we're making really, really good progress in all of those markets.
Anthony Paolone: Got it. Thank you.
Operator: The next question comes from Joshua Dennerlein with Bank of America. Please go ahead.
Joshua Dennerlein: Hey, guys. Just wanted to explore just like what's the you guys include the fair value adjustment and adjusted EBITDA. I guess what's the rationale on that because I feel like it adds like a lot of noise to just like the overall earnings power of the company. So just why do you guys feel it's important to include that?
William McMorrow: I mean, I think historically, as you mentioned, it's been a little bit volatile and we typically are including everything in that metric and that's why we introduced baseline EBITDA to be a more recurring operating metric for the users. So now you can choose which one you'd like to look at.
Joshua Dennerlein: Okay. Sorry, I missed that. So that was new for this quarter, the baseline EBITDA?
William McMorrow: I think second quarter or third quarter we've had it, but that was the genesis of it. So it's a good question and hopefully we're just giving you more information.
Joshua Dennerlein: Okay. And then, you guys mentioned opening a Japan office. I guess, one, I guess what's the rationale behind that? and then can you help us reconcile that with like the cost cutting progress? It just seems like maybe that's a yeah, anyway. Thank you.
William McMorrow: Yeah, that's a very good question. We started in Japan in 1994 with no employees and over a seven-year period of time, up to 2002, we actually became, if not the first, one of the first U.S. real estate companies to ever go public in Japan. That was Kennedy-Wilson Japan, which went public there. We sold almost all of our position in that company over the next couple of years after 2002, but that company continued to thrive and it's currently owned it's a private company owned by one of the large Japanese financial institutions. Outside of that business, we also owned almost 50 apartment units, mostly in Tokyo and Osaka that turned into a very, very successful investment and we sold that business in 2015 and as luck would have it, we used the proceeds out of that to buy our 50% interest in vintage housing here in the United States, which at the time, just as an aside, had 5000 units in it and now has 12,000 units in it, but we have always maintained very, very, very deep and strong relationships with many, many Japanese, large Japanese financial institutions and companies in Japan and we have one existing joint venture in the Bay Area with a major Japanese construction company and then you might remember that in the Q1 of this year, we closed our first multifamily equity investment with a very large Japanese development company in Vancouver, Washington. And so what this has all led to is kind of, I'd say, re-examination of all these deep relationships that we've built over the last 30 years and the Japanese institutions are very global in nature and it's obviously no surprise to anybody that Japan is faced with a declining population at this point in time. We'll see how that all goes, but it has always been the case with Japanese companies, irrespective of where the yen is at, they want to invest on a long-term basis outside of Japan and so we made a decision really earlier this year to, I'd say, intensify our capital raising efforts there, based on these long-term relationship, but to do that kind of business in Japan, you have to have a physical presence there and so we've opened reopened our office there. I would also add in this long winded answer that we've had several Japanese companies now that have come into our fund business -- discretionary fund business, including one large Japanese company that came into our fund business just a couple of weeks ago and so we've had real success raising capital there.
Matthew Windisch: I think one thing I'd add to that is just the team that we have covering that region, we're already employed by the company. So there's no -- we didn't add employees or anything like that as part of this. So there's not a significant change in the G&A related to opening this office.
Joshua Dennerlein: Good background. Thank you.
Operator: The next question comes from Tayo Okusanya with Deutsche Bank. Please go ahead.
Tayo Okusanya: Hello, can you hear me?
William McMorrow: Yes, we got you. Hi, I can hear you.
Tayo Okusanya: Okay, good morning. I wanted to ask about the credit platform and how we think about the growth outlook for the business, just given again if rates are coming down going forward, do you think that results in more construction loans or people all of a sudden want to start borrowing or do you think about it as they become other sources of there'll be more attractive funding for potential developers and they kind of move towards a different product? Like just how do we kind of think of how the business evolves in a world that we have declining interest rate?
William McMorrow: That's a good question. I mean, we've seen a significant slowdown in starts on apartment construction and so what's happened for us is we've had a combination of lower -- number of smaller number of people that are actually developing, but there's also a lot fewer financial institutions and lenders in the market. So the pie has shrunk dramatically from where it was three or four years ago, in terms of the overall size of the construction lending market. That being said, we've been able to capture a very sizable market share, just given that a lot of the traditional lenders are not currently active in the space. I think with the prospect of rates coming down, a couple of things could happen and our thesis really is that you will see more people start to build because the cost of building will be reduced because of lower interest costs and also the value of these assets once completed should go up and the takeout financing should be more attractive. So you should see a pickup in new starts for people building apartment buildings. At the same time, I think it's likely you'll see new entrants come into the market, given those factors. So our hope is that the market will continue to grow and we'll be able to maintain our strong market share. So I think it bodes well for us that the overall size of the opportunity will be larger and I think we've got a competitive cost of capital and a great team that has executed with these borrowers during times where others weren't there stepping up like we are.
Tayo Okusanya: Got you. Does it change profitability of the business because you're probably now going to be making loans at lower rates?
Matthew Windisch: It's not a significant change for Kennedy-Wilson because we're putting up relatively small amount of capital into the loans themselves and we're earning fees based on the origination and asset management and servicing of the loan. So for Kennedy-Wilson, it won't be a significant change in the return.
Tayo Okusanya: Okay. That’s helpful. I guess that’s it for me. Thank you.
Operator: The next question comes from Alan Parsow with Elkhorn Partners. Please go ahead.
Alan Parsow: Hi guys. I have two quick follow-up questions. One is on Japan and that area and if there is a way for you to elaborate on the amount of funds you've been able to this point get into your fund development and different fund issues? And then two, if you could quantify your sale of the Spanish property and give us an idea of what you made lost or whatever on that property and how much you should save from closing eventually that Spain office?
William McMorrow: Yeah. As far as Japan is concerned, Alan, I mean, we're in the, I'd say, early stages of raising capital, but we're having, I'd say, very meaningful discussions with, I'd say, a dozen Japanese major Japanese companies. The reference, if I didn't say the number, the reference I was making into our fund seven discretionary, we've had $100 million of capital come from Japan and so this is early stages and as you can see, we haven't intentionally in the last 12 months, we haven't deployed hardly any capital into the equity investment side of the business. We felt a very much better use of capital was to grow the credit business. The returns were just better, but with these rates coming down, it's clearly going to benefit the equity side of the business, both in terms of the valuation of our own assets, but also our ability to get positive leverage on acquisitions and that was really the reason over the last 12 months, we've really barely moved the dial in terms of acquisitions of new equity oriented investments. The overhead issue. We have been very, very, very good, I would say, over the last nine months of reassessing some of the overhead costs of the company, repurposing people, repurposing places where we had people, but where we could use them better in a different location and so I and we've got further, I'd say, another 5% to go in terms of that's already identified and has taken pretty much taken place in terms of our overhead, but Spain -- it represents a real cost savings for us. I would say it's kind of in the order of about $1 million to $1.5 million a year.
Alan Parsow: And the amount of profit or loss from the sale of the property?
William McMorrow: Yes. Well, you get your profit in two ways. We had very attractive financing on that property from one of the Spanish banks and it was there was a significant excess cash flow from that property for probably the five or six or seven years that we owned. So the returns ended up being very good, but the most of the return really came from the distribution of cash over the time we held it.
Matthew Windisch: Yes. So the third quarter impact from the sale itself is going to be negligible in terms of the gain.
Alan Parsow: Ok great. Thank you.
Operator: This concludes our question and answer session. I would like to turn the conference back over to William McMorrow, CEO, for any closing remarks. Please go ahead.
William McMorrow: Well, thank you everybody for listening in today. We're very pleased with where we're at and as always, if there are any other questions that you've got, any of us are available to talk with you at any time. So thank you.
Operator: The conference has now concluded. [Operator Closing Remarks].